Operator: Good day. Thank you for standing by. Welcome to the Third Quarter 2023 Ocular Therapeutix Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Donald Notman, CFO. Please go ahead.
Donald Notman: Thank you, operator. Good afternoon everyone and thank you for joining us on our third quarter 2023 financial results and business update conference call. This afternoon, after the close, we issued a press release providing an update on the company's product development programs and details of the company's financial results for the third quarter ended September 30th, 2023. The press release can be accessed on the Investors' portion of our website at investors.ocutx.com. Leading the call today will be Antony Mattessich, our President and Chief Executive Officer, who will provide an update on our pipeline developments and the commercial progress of DEXTENZA. Also speaking on the call today will be Dr. Rabia Ozden, our Chief Medical Officer; and Steve Meyers, our Senior Vice President, Commercial; and Dr. Peter Kaiser, Chief Medical Advisor, Retina. Unfortunately, Peter will now be available during the Q&A. Following their remarks, I will provide an overview of the financial highlights for the quarter, before turning the call back over to Antony for his summary and questions. As a reminder, on today's call, certain statements we will be making may be considered forward-looking for the purposes of the Private Securities Litigation Reform Act of 1995. In particular, any statements regarding our anticipated net product revenues and our regulatory and product development plans, as well as our research activities are forward-looking statements. These statements are subject to a variety of risks and uncertainties that may cause actual results to differ from those forecasted, including those risks described in our Form 10-Q filed this afternoon with the SEC and our most recent annual report on Form 10-K filed March 6th, 2023. I will now turn the call over to Antony.
Antony Mattessich: Thanks Donald. Hello and welcome everyone to our third quarter 2023 earnings call. We are pleased to share with you the tremendous progress we've made over the past three months to build on our previous successes and provide clarity on our plans going forward. I'm also pleased to announce a number of exciting developments for OTX-TKI, our axitinib-containing intravitreal implant for the treatment of wet AMD. To begin, I'm pleased to share that we have announced a new trade name, OTX-TKI, that we will now refer to as AXPAXLI. As the program has advanced into its first pivotal trial, we thought it appropriate to introduce this new name to begin to establish our brand identity for potential commercialization. Clearly, though, the most important development in the AXPAXLI program is the recent agreement on our special protocol assessment with the FDA we received just last week. The special protocols assessment or SPA allows the FDA to officially evaluate and provide written guidance to sponsors. This feedback helps companies assess the adequacy and acceptability of critical elements in protocol design to support future marketing applications on the basis of the efficacy and safety endpoints in the trial. For our SPA, we aim to secure alignment with the FDA on both the protocol design and the statistical analysis plan. Regarding protocol design, we have gained agreement on several crucial aspects. These include the precise, precise competition of the study population to be enrolled in our clinical trial, the identification of a suitable control arm for AXPAXLI, the determination of its dosing regimen, the specification of baseline criteria, the selection of primary endpoints and their corresponding timing, as well as the establishment of an appropriate sample size to ensure its fiscal robustness of our pivotal trial. This alignment with the FDA is instrumental in upholding the scientific rigor and regulatory standards of our study. By coming to an agreement with the FDA on the specific elements of our pivotal trial design and statistical analysis plan that analysis plan, we believe we now have a clear regulatory path forward. This is a program we are very excited about based on the compelling data that we have shared in the past year. This program has demonstrated the potential for best-in-class durability, and we believe truly has the potential to change the standard-of-care in this multibillion dollar market. Now, with the initiation of trial sites already underway and the SPA in place, we look forward to screening and enrolling patients. We remain on track to begin dosing our first subject before the end of the year. While we believe the path for AXPAXLI is now clear, and our internal focus now turns from careful planning to flawless execution, there's still a tremendous amount of education done. We believe the FDA's new draft guidance, coupled with our interpretation of the additional feedback we have received from the FDA has created significant change for the development of treatments in wet AMD, particularly for treatments like AXPAXLI that are designed to demonstrate extended durability. We are extremely lucky to have deep connections in the retina community with Dr. Jeff Heier on our Board, and the recent addition of Dr. Peter Kaiser as our Chief Medical Advisor, Retina. Both Jeff and Peter have been instrumental in guiding the community through the implications of the changes and the reasons behind. Our goal in bringing AXPAXLI fleet forward is to improve the lives of patients living with wet AMD, and we realized that only strong endorsement from the retina community will allow AXPAXLI to achieve its full potential. Let me finish with an update on DEXTENZA. We are pleased to report another impressive quarter for DEXTENZA with net product revenue of $15 million for the third quarter of this year, 26% over the same quarter previous year, and in line with Q2 net product revenues. Based on the trends, we continue to anticipate DEXTENZA net product revenue guidance for the full year 2023 will come in at the upper end of our current $55 million to $60 million range provided a good start of the year. Steve Myers, our Senior Vice President, Commercial, will walk you through the drivers behind this growth. With this background, I'd like to turn the call over to Dr. Rabia Ozden, , our Chief Medical Officer, who will introduce you to the ongoing AXPAXLI pivotal trial, which we refer to as [Indiscernible] trial and provide some details on the SPA agreement. Rabia?
Rabia Ozden: Thank you, Anthony. With the FDA agreement under special protocol assessment, we are excited to prepare the enrollment of the first subject in our first pivotal trial for XPAXULY are investigational by a resorbable hydrogel implant containing axitinib in the treatment of wet AMD by the end of December. Let me first describe the proposed design of the superiority trial. The trial will be a prospective multi-center randomized parallel group pivotal Phase 3 trial that will be run primary primarily at US Sites and is designed to enroll approximately 300 available wet AMD subjects who are treatment-naive in the study. In the trial, we will be comparing a single implant of XPAXULY containing 450 microgram of axitinib to a single injection of aflibercept to assess the safety and efficacy of XPAXULY in subjects with wet AMD by measuring BCVA and CSFT. Our trial is anticipated to enroll subjects with good visual acuity at ex-screening. Then every subject will receive two of the aflibercept injections, one at week minus eight, and another at week minus four. Subjects reaching 20/20 vision will then be randomized in the trial at day one baseline to receive either one implant of XPAXULY in the investigational arm or one injection of aflibercept in the control arm and will be followed monthly and rescued for the pre specified criteria. Our primary endpoint is the proportion of subjects who maintain visual acuity defined as less than 15 ETRS letters of BCVA loss at week 36. We are happy to receive the guidance from the FDA that week 36 is an acceptable time point for the primary endpoint analysis in our study design with a note that although week 36 is acceptable, the FDA prefers week 40. After additional internal discussions, we may choose to move the endpoint timing to week 40. Our risky criteria is 15 or more ETRS letter loss compared to baseline or a new hemorrhage that is likely to cause irreversible vision loss. When a subject meets the rescue criteria, they will be treated with a aflibercept injections and then the next rescue treatment will be at the investigator's discretion. We asked the FDA's guidance on two important questions. First, whether the FDA would allow 15 or more letter loss at any time in the trial to count as a treatment failure at week 36. And second, what would be the best analysis of subject to wrap ups during the trial? The FDA confirmed that loss of 15 letters at any point in the trial would be considered as having met the endpoint as a treatment failure. Regarding subject dropouts, the FDA informed us that patient characteristics and circumstances at the time of dropout from the study will be subject to review and provide detailed guidance on how we should best capture the information on the dropout in the trial. Overall, we are excited to have agreement on our special protocol assessment and look forward to running our first pivotal trial per this FDA guidance. As in the last note on the protocol, I would like to inform everyone that the intent to move forward into the pivotal trials with an optimized drug load of 450 micrograms of axitinib per implant. This optimized configuration has the same components that are axitinib and hydrogel as our single 600 microgram axitinib implant. However, provides us for a slightly increased daily release of the drug. And is designed to improve synchronization of axitinib drug depletion with Hydrogel bioresorption. With that introduction, I would like to turn the call over to Peter to discuss the first clinical community reaction to our special protocol assessment agreement, and the prospects of successfully enroll our first pivotal trial. Peter?
Peter Kaiser: Thanks Rabia. This year there have been a lot of changes in the world of drug development for wet age-related macular degeneration. For those of us who have spent our lives developing drugs, the FDA requirements for clinical studies in wet AMD have remained remarkably consistent throughout the years. But these have changed. For understandable reasons, the FDA has released new draft guidelines that change how we do need to design studies. The FDA needs to protect the public against misbranding and ensure that any product reaching the market is truly safe and effective. The new rules released by the FDA required that durability to be proven by the comparator arm dosed the same frequency as the study arm. For treatments like AXPAXLI that promises greater durability than our current treatments. We believe that non-inferiority, while still acceptable if you're comparing treatments at the same dosing frequency as control, is no longer enough to ensure approval with a label of greater durability. For that, a SUPERIORITY study is needed. We should be pleased that the FDA is encouraging direct comparison in a Superiority setting. As a clinician, if I switch a patient from Eylea to a product claiming greater durability, I want to know that it will really extend the dosing interval for my patients. With some of the newer recent product launches within wet AMD, we have no direct comparison against the standard-of-care at the same dosing schedule and with the same rescue criteria. So, comparisons about durability are not possible. The new rules we believe will now require our companies to provide this vital data going forward. I've talked a lot about what has changed, but one thing that is definitely not changed is the unmet need for greater durability products in wet AMD, mainly due to the heavy injection burden of currently approved treatments. Visual outcomes in a real world do not come close to matching those we see in clinical trials. Continuous control treatments like AXPAXLI that are designed to treat wet macular degeneration with a single injection for nine to 12 months are sorely needed and could change the visual outcomes for billions of patients worldwide. As clinicians, we realize that innovation is the most important need for our patients. Clearly, we need to balance the needs of the broader population with the protection of subjects in clinical trials. My colleagues and I who run retinal clinical studies believe that the protocol in the special protocol assessment recently agreed to by the FDA does exactly this. We also believe that how we conduct a trial will be hugely important in generating the right outcomes and protecting the safety of the enrolled subjects. I'm very excited to be associated with this trial, and I believe the community will increasingly understand and endorse the approach we are taking. I would now like to turn the call back over to Rabia to discuss additional program updates.
Rabia Ozden: Thank you, Peter. I'd like to briefly cover the opportunity VC for AXPAXLI to treat non-proliferative diabetic retinopathy. We have completed enrollment of our Phase 1 HELIOS trial, a multi-center prospective masked randomized, controlled US-based trial in 22 subjects, evaluating a single implant of AXPAXLI containing 600 microgram axitinib compared to some injection procedures. To appreciate the potential value of AXPAXLI in this indication, requires first an understanding of the condition and its population. In the early stages, diabetic retinopathy will not affect sight. But if left untreated, it progresses and eventually sight will be affected. In fact, diabetic retinopathy is the number one cause of lethal blindness in the working age population. Given this slow onset and the fact that diabetes affects a younger working age population, the required frequency of current anti-VEGF therapies makes effective treatment especially challenging. And this is where we believe, AXPAXLI, with its desired durability of up to nine months or longer may be especially effective. We believe the same attributes that make AXPAXLI a compelling product in vet macular degeneration, the ease of use of an office-based injection, and long-term durability could establish this as the first standard-of-care in the treatment of diabetic retinopathy. Recently, in consultation with our scientific advisers, we made the decision to unmask the HELIOS trial at nine months versus the initial six-month time point. We believe nine months is a more meaningful time point and will allow us to better evaluate the effect of AXPAXLI on this population. We look forward to sharing the topline nine-month data from the HELIOS trial in Q2 of 2024. We are also making excellent progress with another one of our late-stage pipeline programs or OTX-TIC, our travoprost intracameral implant being developed for the treatment of patients with primary open ankle glaucoma or ocular hypertension. While there are many medications available to lower intraocular pressure or IOP, Glaucoma remains a leading cause of blindness. In part because of unwanted side effects, improper drop installation technique, or simply forgetting to take their daily drops, we believe most patients fail to comply and may ultimately lose their vision. OTX-TIC is being developed to close the gap between clinical trial and real-world outcomes by taking patient compliance out of the equation. This prospective multi center mask randomized controlled US based Phase 2 clinical trial is evaluating the safety, tolerability, and efficacy of OTX-TIC for the reduction of IOP in subjects with primary open angle glaucoma or ocular hypertension. The trial is designed to observe the changes in IOP from baseline at two, six, and 12 weeks and full of duration of IOP response over time compared to the restart. As shared previously, the Phase 2 trial enrollment is now complete. We plan to share Phase 2 topline clinical data from the single dose portion of the trial at the ASCRS Meeting in early April of 2024. I'm also very pleased to report that the sub-study to evaluate the safety of a repeat dose of OTX-TIC 26 microgram in a small subset of subjects within the current Phase 2 clinical trial is progressing well. After receiving a second implant of OTX-TIC 26 microgram, these subjects will be followed for at least six months to evaluate their endothelial cell health. The data on the preservation of endothelial cell health in this pilot repeat dose sub-study could provide preliminary support that the product candidate is suitable for repeat dosing. Regarding our ocular surface disease programs, we remain committed to the development of our two dry eye programs, OTX-TED, a low dose intracanalicular insert containing dexamethasone, for the short-term treatment of the signs and symptoms of dry eye disease. And OTX-CSI, a cyclosporine intracanalicular insert for the chronic treatment of patients with the dry eye disease. Enrollment is going well in our study to evaluate the performance of OTX-TED versus placebo inserts namely fast-dissolving collagen plaques and no inserts at all. We plan to use the results of this trial to inform the selection of a more appropriate placebo comparator for use in future clinical trials for both OTX-TED and OTX-CSI potentially derisking the pivotal programs moving forward. I would now like to turn the call over to Steve for a commercial update. Steve?
Steve Meyers: Thank you, Rabia. In Q3 2023, DEXTENZA recorded net product revenue sales of $15 million, approximately 26% higher than the same period last year. Also, in market unit volume, units sold to ambulatory surgery centers and hospital outpatient departments, closed at 36,902 units, which represents a 38% increase over Q3 2022. After a modest start in July, DEXTENZA sales rebounded in August and September by recording the highest consecutive two-month volume in 2023. Over the last four quarters, customer ordering sizes have also grown. In Q3 2023, 49% of all DEXTENZA orders were for 30 or more units compared to 29% during the same time period in 2022. We believe the increase in order size and number of orders is attributable to several factors including DEXTENZA's clinical efficacy, safety profile, and market access coverage. Earlier this year, we launched a commercial assurance program to help with patient out of pocket costs, and that has also helped an increase surgeon utilization of DEXTENZA beyond Medicare Part B. Surgeons typically prefer to use the same treatment algorithm on all patients and many surgeons have recently expanded with DEXTENZA beyond Medicare Part B. We believe the commercial and Medicare Advantage payer landscape provides another growth opportunity for DEXTENZA. Now, I'll provide an update on CMS' decision for CPT 68841, a code that describes the insertion procedure for DEXTENZA. Recall the HOPs panel, which is an advisory arm of CMS, recommended a change to the status indicator to allow for the insertion payment in the ASC. Additionally, surgeons, ASC administrators, and staff across the entire US sent over 1,000 letters to CMS during the open comment period also requesting the change. Despite these efforts, CMS made the decision to not change the status indicator. While we're disappointed in the final ruling, we're still confident in DEXTENZA's long-term prospects. Our forecast models were built on the assumption that CMS would not change the status indicator. While we're disappointed in the final ruling, we are still confident in DEXTENZA's long-term prospects. Our forecast models were built on the assumption that CMS would not change the status indicator. Surgeons, ASC, and staff confidence and DEXTENZA's efficacy and safety profile has resulted in significant growth over the last four quarters, and we expect that to continue in Q4 and beyond. While the CMS rule is final for 2024, to be clear, we intend to revisit the status indicator for calendar year 2025. Finally, as Anthony noted previously, and based on performance year-to-date and trends over the last several months, we remain confident reiterating our DEXTENZA Net Product Revenue Guidance for the full year 2023 to be between $55 million and $60 million, representing potential growth of approximately 10% to 20% over 2022. With that, let me turn the call back to Donald to discuss our financial results.
Donald Notman: Thank you, Steve. Total net revenue, which includes both gross DEXTENZA product revenue net of discounts, rebates and returns, which the company refers to as net product revenue and collaboration revenue was $15.1 million for the third quarter of 2023, an increase of approximately 26% over third quarter 2022 net revenue of $12 million, and in line with second quarter net revenue of $15.2 million. For the third quarter of 2023, DEXTENZA Net Product Revenue grew to $15 million from $11.9 million over the comparable period in 2022, while collaboration revenue was approximately $0.1 million for each period. Research and development expenses for the third quarter of 2023 were $15 million versus $13.7 million for the comparable period in 2022, driven primarily by an increase in expenses associated with clinical trial programs and personnel-related costs, including stock-based compensation support these programs. Selling and marketing expenses in the third quarter of 2023 were $9.3 million, as compared to $10.2 million for the comparable quarter of 2022, reflecting primarily a decrease in professional fees and services. General and administrative expenses were $8.6 million for the third quarter of 2023 versus $8.5 million in the comparable quarter of 2022, primarily due to an increase in personnel-related costs, including stock-based compensation offset by lower professional related fees and services. The company reported net loss for the third quarter of 2023 of $0.5 million, or a loss of one cent per share on a basic basis and $0.25 per share on a diluted basis, compared to a net loss of $24.2 million or a net loss of $0.31 per share on both a basic and diluted basis per share for the comparable period in 2022. Net loss in the third quarter of 2023 included a $6.7 million non-cash gain attributable to a change in the fair value of the derivative liabilities associated with the company's convertible notes and the variance credit facility. The company also recorded gains and losses from debt extinguishment net of $14.2 million in the third quarter of 2023. Non-cash charges for stock-based compensation and depreciation and amortization were $5.4 million in the third quarter of 2023 versus $4.7 million for the comparable quarter in 2022. As of September 30th, 2023, the company had $110.6 million in cash and cash equivalents versus $102.3 million as of December 31, 2022. Based on current plans and related estimates of anticipated cash inflows from DEXTENZA and anticipated cash outflows from operating expenses, the company believes that existing cash and cash equivalents and reflecting our compliance with the $20 million minimum cash covenant in the bearings credit agreement are sufficient to enable the company to fund planned operating expenses, debt service obligations and capital expenditure requirements into 2025. This cash guidance is subject to a number of assumptions, including the revenue expenses and reimbursements associated with DEXTENZA and the pace of research and clinical development programs, among other aspects of the business. As of November 7, 2023, the company had approximately 79.4 million shares outstanding. I would now like to turn the call back to Anthony for some final thoughts.
Antony Mattessich: Great, thanks, Don. So before turning the call over for questions, let me go over a quick summary. We received FDA agreement on our special protocol assessment for expat suite and are on track to enroll our first subject for year end. We are anticipating a number of updates in our pipeline that we intend to share at upcoming medical meetings. First, we recently completed enrollment in our Phase 2 program evaluating OTX-TIC, our travicose-containing intercameral implant for the treatment of glaucoma, and expect to present top-line results in April 2024. With a recent interest around the iDose program at Glaucos, we are excited about the prospects of bringing a fully bioresorbable prostaglandin delivery implant that is designed to be suitable for chronic dosing into pivotal programs as our next step. Secondly, we look forward to sharing our interim nine months data from the Helios trial evaluating AXPAXLI in non-proliferative diabetic retinopathy in Q2 of 2024. We recorded 15 million in net product revenue for DEXTENZA in the third quarter of 2023, 26% over the same quarter prior year in line with Q2 2023. Based on the results, we are reaffirming our guidance and expect to come in at the high end of the current $55 million to $60 million range. Finally, I'd like to mention that we will be hosting an R&D day in December to further detail our plans around the OTX-TIC pivotal program and discuss the rest of the development pipeline as well as expenses. Please keep an eye out for further details on the date. I hope it's clear that this is a very exciting time for Ocular and we're thrilled with our progress to date and look forward to sharing additional updates in the coming quarters. With that, I will turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jon Wolleben with JMP. Your line is now open.
Jon Wolleben: Hey. Good afternoon. Thanks for taking the questions. A couple from me. First on DEXTENZA and then I've got to follow up on AXPAXLI. Just wondering, without the CMS facility decision the other week, what can accelerate the extensive growth in a surgical setting in 2024? And then are you planning on -- are you currently promoting the extensive for allergic conjunctivitis or plan on starting that next year? Just wondering about any details there.
Antony Mattessich: Sure. I'll hand that off to Steve.
Steve Meyers: Sure. Yes. So next year in terms of our growth, this year we're expecting to grow about 26% in market volume, and we expect to see the same next year. As it relates to the CMS decision with the facility payment, I think at the end of the day, the HOPs panel made the recommendation to change the status indicator. We also had over 1,000 comments in the open comment period to change it. Their rationale for not changing it is they consider it to not be a stand-alone procedure, which we disagree with that decision. So we will revisit that next year, and we are hopeful that it will happen in 2025.
Jon Wolleben: And, allergic conjunctivitis, any plans there?
Steve Meyers: Yeah, great question. I think that we have a great opportunity with the AC, but our plans for next year, we're going to continue with the same sales force we have. We'll meet customers where they want to go, whether it's in the office for AC or in the surgery center. But we still believe that the surgery center provides us the greatest opportunity. We've only captured less than 5% of all cataract volume and still believe that's the best opportunity for growth for DEXTENZA in 2024.
Jon Wolleben: Okay. And a couple on OTX-TIC. What percentage of the wet AMD population do you think fit into your current enrollment criteria? And then how do you think about the translatability from the data you'll generate here to the more broad wet AMD population? And then I guess maybe one more, the discussion between week 36 and week 40, you know, what was the discussion with FDA and the difference in opinion there? Thanks
Antony Mattessich: That's a lot of questions to squeeze into one. I'll hand it off to Rabia.
Rabia Ozden: Yeah, maybe I'll start with the last one, Jon, the 36 weeks versus 40 weeks. There is really not a discussion with the FDA. FDA's response is that they accept week 36, although they prefer week 40. I think that is coming from what is month nine, whether it's week 36 or week 40. And both of them are acceptable. And we'll just have internal discussions. And we really have no issues moving to week 40 because the, you know, like the drug actually is the durability covers that. That's why, you know, that's really the response. The week 36 is acceptable, although they prefer week 40. Can you, Jon, repeat your first and second question?
Jon Wolleben: Yeah. What percentage of the population, you know, fit your enrollment criteria? And then how do you think the data translates to the broader population?
Rabia Ozden: Yeah. I mean, first of all, this is the population. This population exists, and it is like the way they are going to come at the screening is, you know, like just a population already at the sites and actually do not qualify for any other AMD trials. We are looking for that, you know, good vision with AMD patients, treatment naive. Again, with our discussions, actually, that population is actually not eligible for any other trial. And, you know, just waiting to be enrolled in a trial. The applicability, this is a bit AMD population. And our enrollment criteria includes that, you know, like just they need to show we need that the patient should have the better AMD, the CMV vision. And that's why it would be applicable ultimately for the approval perspective. But in addition to that, we're going to have definitely have other, you know, phase four trials and the, you know, our repeat dose trial, which is going to cover, you know, more AMD population as well, the, you know, less vision patients. But for a true mobility, this population is completely acceptable.
Antony Mattessich: Yeah, we expect a very broad label. We expect for treatment of wet AMD. And that was part of the spa request of what we expected from the indication. So we're very comfortable and certainly with the history of the FDA that the applicability or the label will be extremely broad. The question that Robbie is bringing up is that we realize that doctors will probably want additional data for marketing reasons later on. So we certainly plan to have a very active phase four program prior to launch.
Jon Wolleben: That's very helpful. All right. Thanks for taking the questions and congrats on the progress, guys. Appreciate it.
Antony Mattessich: Thanks, Jon.
Rabia Ozden: Thank you.
Operator: One moment for our next question. The next question comes from Joseph Catanzaro with Piper Sandler. Your line is now open.
Unidentified Analyst: Hi, everyone. This is Albert on for Joe. My first question was to really better understand how this new formulation compares with what was used in the phase one study. So I was wondering how this drug was optimized and whether with this different dynamic of drug solution, is absorption still expected to occur around this eight-month mark? And then maybe follow up. Thank you.
Antony Mattessich: Yeah, it's really kind of a misnomer to call this a new formulation. In fact, the hydrogel portion of it is exactly the same as what we've been using. What we've changed is we've changed the load. So we've gone from 600 micrograms to 450 micrograms. And we've discovered ways to allow that to come out faster. So we'll have a faster release and we'll have a higher amount of daily drug delivery, which matches the three times 200 that we saw in the Phase 1 trial in Australia, which is where we have the bulk of our work with Naive. So obviously at the end of the life of the depot, which is exactly the same as we've seen in all the other trials, between eight and nine months, we'll have a little bit less drug available. We want to have drug available. We'd like to create a sort of a period where there is drug in the vitreous, where you can re-dose without another foreign body being in the vitreous at that time, if a doctor finds that to be important. But this just better matches up the drug delivery with the bioresorption. And as formulators, we're very excited that we can bring this forward.
Unidentified Analyst: Okay. Thanks. I was also wondering about the plans on how to handle subject drop offs. I know, you mentioned that patient characteristics and circumstances are subject to review. Maybe you can just maybe speak a little more on this if you can.
Antony Mattessich: Sure, I'll start first and maybe hand it over to Rabia. But I mean, there were two hugely important points in this SPA that we brought in that could have made the trial either more difficult or made us rethink the trial. The first was what a lot of people are talking about, LOCF, meaning that if a patient achieves a 15 letter loss at month three, and then is rescued several times through the rest of the balance of the nine months, are they considered a treatment failure at nine months? And that was very unequivocal from the FDA saying, yes, that person would be treated as a treatment failure at nine months, even though their failure occurred at month three. The second thing was realizing that this is a trial that in the ILEA arm is likely to have a relatively high number of dropouts, comparatively to other trials that may be in the space. We asked the FDA if we could take the protocol violators and the dropouts and consider them in an ITT analysis that would have them all put into the 15 letter loser category. The FDA understood the question, told us that it would be a review issue clearly for patients that are dropping out or going outside of treatment protocol for efficacy reasons. That appeared to be a reasonable approach and that as part of the review, we would look at all of the data in its totality. That was a hugely reassuring bit of information from us, because as you know, on an ITT analysis, those dropouts and protocol violations generally need to go in one of the two categories. And we wanted to be sure that they would not be placed arbitrarily in the non-15 letter loser cohort. And that was confirmed by the FDA. I don't know, Rabia, is there any more you can add on this?
Rabia Ozden: No, I mean, you described it really well, Anthony. The only thing that I would add is that we are really, like happy to receive the guidance from FDA, how we should collect the information on those patients. They're clear, like direction on the information FDA wants us to collect on whether they drop out because of the safety, efficacy or some other reason. That -- as Anthony mentioned, is very encouraging.
Unidentified Analyst: Okay. Thanks. That's very helpful. All right, thanks again for taking my question.
Antony Mattessich: Thank you.
Operator: Thank you. One moment, please. Our next question comes from the line of Colleen Kusy with Baird. Your line is now open.
Unidentified Analyst: Hi, this is Abbvie, on for Colleen. Congrats on the SPA and all the progress. I had a question regarding the patients at baseline. Previously you said, you were planning on enrolling patients that were closer to 2020 vision or who got to 2020 vision after induction with ILEA. Is that still the plan? And can you comment on how you think this entry criteria will impact your rate of enrollment?
Antony Mattessich: Yeah, that's what's in our SPA. Our SPA is for patients that after two doses of ILEA induction improve to 2020, that they are enrollable in the trial. Now, the great thing about having the SPA is that it's really allowed us to have a concrete response from the FDA and allowed us to have a tremendous number of conversations with sites and with the opinion leaders. And we've had a lot of feedback from those sites. Now that they're used to the concept of what we're doing with this trial, and now that we have the endorsement from the FDA that this is a legitimate trial for registration, a lot of ideas about other broadening that definition and allowing more patients into the trial. Now, clearly to make any changes to that protocol, we need to go through a process with the FDA to ensure that the SPA reflects that. But even as is, we're able to start enrolling patients immediately. And we do think that that patient population that can get to 2020 is reasonably sizable, especially given the earlier diagnoses of wet AMD with the nearly ubiquitous use of OCTs in yearly ophthalmic exams. So we think we're going to have enough patients with the protocol as is, but there are opportunities to broaden that entry criteria as well.
Unidentified Analyst: Wonderful. And then I was wondering if you could talk through what your expectations are in the earlier control group as to what proportion of those patients you'd expect to lose 15 letters.
Antony Mattessich: The working assumption is between 30% to 50% of those patients would progress to a 15-letter loss if allowed to do so.
Unidentified Analyst: Wonderful. Thank you so much.
Antony Mattessich: Thank you.
Operator: Thank you. One moment for our next question. The next question comes from Kelly Shi with Jeffries. Your line is now open.
Unidentified Analyst : Hi. This is Clara [ph] for Kelly. Thanks for taking our question and congrats on the process. Just wondering what degree study design was activated to be applicable to the second wet AMD trial as well? And also for diabetic retinopathy, what kind of data do you need to see to move forward to the Phase 3 pivotal trial? And what might be the expected cause associated with that trial?
Antony Mattessich: Sure. Rabia, you want to field that?
Rabia Ozden: Yes. The first question, whether the second pivotal would be the same. Yes, it would be the same design as, like the design that we are going to run with the first trial. And can you please repeat your question on the second question, Kelly? Clara, sorry.
Unidentified Analyst : Yes, sure. So I was asking in terms of diabetic retinopathy, what kind of data in Q4 do you need to see in order to move forward to Phase 3 pivotal trial? And what might be the expected cause associated with the pivotal trial? And how do you plan to fund the trial?
Rabia Ozden: Okay. I'll just take the first part of that question. I'll leave the funding to Anthony. For the DR trial, our expectation, as you know, this is a small trial. The number of the subjects, we enrolled 22 subjects in the trial. And they are like two to one in expats versus the sham. Our expectation is to see a trend in the improvement in the DRSS score. We are really not looking for any non-inferiority. Our sample size would not, is not enough for that. That's why we are looking for a trend in the DRSS score improvement. Anthony, would you like to take the rest of the question?
Antony Mattessich: Sure. I mean, obviously, we're not committed to a particular form of funding at the moment. I mean, we're very fortunate that we have cash at the moment and we have a runway into 2025. There are opportunities in a number of different both dilutive and non-dilutive opportunities to be able to help fund that second trial. Clearly, the SPA gives clarity that we did not have before and that creates an investment opportunity that, or a partnership opportunity that's a bit more clear than what existed in the past. So, I think this SPA actually opens up more avenues than we had before, but we haven't committed to a particular source of funding. Clearly, once we get traction on this first pivotal, the desire to set up another pivotal in order to get to market in a reasonably short period of time is overwhelming, given that the destination, the value of two positive pivotals in a wet AMD with a nine to 12 month product is a multi-billion dollar opportunity. And we'd like to get there as fast as we possibly can.
Unidentified Analyst : Terrific. Thank you.
Antony Mattessich: Thank you.
Operator: Thank you. One moment for our last question. This question comes to the line of Yi Chen from H.C. Wainwright. Your line is now open.
Yi Chen : Thank you for taking my question. I recall you previously reported that 73% of patients were rescue free and months 10 with 600 micrograms. Now, you are using 450 micrograms. So, what percentage of patients do you expect to be rescue free at the end of nine months?
Antony Mattessich: Well, we would expect that number to be the same or higher. I mean, this new formulation will deliver just like the older formulation or the pre-optimized formulation. It'll deliver drug continuously for nine to 12 months. And as we mentioned, for the first nine months, it will deliver drug at a slightly faster rate than the 600 microgram dose. So, up until nine months, you're actually going to get more drug to the target tissues than you would have with the previous 600 microgram formulation. So, up through that nine month timeframe, we're very confident that we'll do at least or better than that. Certainly, in terms of the drug delivery, we will. We believe we'll still have enough drug in the target tissues and in the vitreous post-dose to be able to extend the effective concentrations in the RP and the choroid up into month 12.
Yi Chen : And will you use the 450 microgram formulation for MPPI as well in the future?
Antony Mattessich: I believe we will, yes. I mean, it's an optimized formulation, better marrying the drug elution with the life of the insert. So, I don't see why we would want to go with that formulation, but it's just a better iteration of what we've done before for all indications.
Yi Chen : And do you expect the same safety profile during the first nine or ten months with more drugs to be delivered by this new formulation?
Antony Mattessich: Well, we're comfortable that the amount that we're delivering is well within the safety window. It is, as you probably heard me mention earlier, the elution rate that we have on this optimized formulation is about the same as we had on the three times 200 that we had in Australia. So, we certainly don't expect any difference in safety. Having maybe a little less drug around at the end of the life of the insert actually might, not that we had safety issues with what we had before, but it certainly would give us greater confidence that there would be less drug moving around the vitreous at the end of the life of the insert.
Yi Chen : Okay. Thank you.
Antony Mattessich: Thank you.
Operator: I'm showing no further questions at this time. I would now like to turn the call back to Antony Mattessich for closing remarks.
Antony Mattessich: Well, thanks everybody for joining us today. I mean, if it's not come through, we are unbelievably excited to have the SPA behind us now, that we have a clear roadmap. We've done a lot of planning, a lot of discussing with the FDA, a lot of educating of the market that we still need to do. But we really are in a situation now where we're gone from really intense planning to really putting our head down and getting behind the execution of this trial. We have our sites that are excited to be able to join it. We actually are very lucky that we're launching this trial in a period where there's a lot of infrastructure, particularly in the U.S., that's capable of doing wet AMD trials that are currently not being utilized at a very high rate. So we're very eager to get started. We're very eager to get this product to patients and just can't wait to get going. So thank you so much for attending today.
Operator: Yes, thank you for your participation in today's conference. It does conclude the program and you may now disconnect.